Operator: Good day, everyone, and welcome to the Vivos Therapeutics, Inc. Second Quarter 2025 Conference Call. At this time, participants are in a listen-only mode. A question and answer session will follow management's remarks. This conference call is being recorded, and a replay of today's call will be available in the Investor Relations section of Vivos Therapeutics, Inc.'s website and will remain posted there for the next thirty days. I will now hand the call over to Mr. Brad Amman, Chief Financial Officer, for introductions and the reading of the safe harbor statement. Please go ahead.
Brad Amman: Thank you, Operator. Hello, everyone, and welcome to our conference call. A copy of our earnings press release is available on the Investor Relations section of our website at www.vivos.com. With me on the call today is Kirk Huntsman, Vivos Therapeutics, Inc.'s Chairman and Chief Executive Officer. Today, we will review the financial results for the second quarter of 2025 as well as more recent developments in Vivos Therapeutics, Inc.'s plans for the rest of 2025 and beyond. Following these formal remarks, we will be happy to take questions. I would like to remind everyone that today's call will contain forward-looking statements from our management made within the meaning of Section 27A of the Securities Act of 1933 as amended in Section 21E of the Securities and Exchange Act of 1934 as amended, concerning future events. Words such as aim, may, could, should, projects, expects, intends, plans, believes, anticipates, hopes, estimates, goal, and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve significant known and unknown risks that are based upon a number of assumptions and estimates, which are inherently subject to significant risks, uncertainties, and contingencies, many of which are beyond the company's control. Actual results, including without limitation, the results of Vivos Therapeutics, Inc.'s growth strategies, operational plans, including sales, marketing, distribution, medical sleep provider acquisition, and integration, research and development, regulatory initiatives, cost savings plans, and plans to generate revenue, as well as future potential results of operations or operating metrics, such as the potential for Vivos Therapeutics, Inc. to achieve future positive cash flows or profitability, and other matters to be addressed by Vivos Therapeutics, Inc. management in this conference call may differ materially and adversely from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to, risk factors described in other disclosures contained in Vivos Therapeutics, Inc.'s filings with the Securities and Exchange Commission, including the risk factors and other disclosures in our Form 10-K, for the year ended 12/31/2024, and our other filings with the SEC, including our 10-Q which was filed today with the SEC, all of which are or will be accessible on the Investor Relations section of Vivos Therapeutics, Inc.'s website as well as the SEC website. Except to the extent required by law, Vivos Therapeutics, Inc. assumes no obligation to update statements as circumstances change. Finally, please be aware that the US Food and Drug Administration has given certain Vivos Therapeutics, Inc. appliances 510(k) clearance to treat mild to severe OSA. With the FDA clearance of certain Vivos Therapeutics, Inc. products for severe OSA in November 2023, treatment of patients with severe OSA with these specific appliances is no longer needed to be performed off-label at the clinical discretion of the treating doctor and is now an integral part of the Vivos Therapeutics, Inc. treatment protocol. Treatment of OSA of any severity or any other condition with any other Vivos Therapeutics, Inc. FDA-cleared devices remains at the clinical discretion of the treating doctor. For further information on our results for the three and six-month periods ended 06/30/2025, please see our earnings release, which was distributed earlier today, and our quarterly report on Form 10-Q, which is available on the SEC filings portion of the Investor Relations section of our website. In 2025, Vivos Therapeutics, Inc. achieved a major milestone in our pivot of our sales, marketing, and distribution model to focus on sleep center provider-based alliances and acquisitions. With our 06/10/2025 acquisition of the Sleep Center of Nevada, Kirk will discuss the exciting progress we have made to date on SCN and its importance to Vivos Therapeutics, Inc. While this was occurring, we continued to wean ourselves off of our legacy VIP enrollment revenue. The combination caused us to experience some expected increases in costs, much of which related to SCN, and declines in VIP enrollment revenue. VIPs pay Vivos Therapeutics, Inc. to get trained. For 2025, we saw a slight decrease in revenue, down about 6% to $3.8 million compared to $4.1 million in the second quarter of 2024. The decline in revenue reflects additional expenses related to the transition and integration of our SCN into our operations. On the product side, appliance discounts impacted product sales by $600,000. However, we saw a silver lining as our guide sales picked up, offsetting the decrease by $500,000. In services, while VIP enrollment revenue declined by $1 million in the second quarter, we made significant gains elsewhere. Importantly, we saw an immediate $500,000 uplift in sleep testing service revenue attributable to SCN. And that's just for the period from June 10, which was the SCN closing, through the end of the quarter. We are very encouraged by this. We saw a $400,000 boost in sponsorship, seminar, and other service revenue as well. Looking at 2025, our revenue decreased by $600,000 to $6.8 million compared to the same period in 2024. This 9% decline was primarily due to our unexpected $1.7 million drop in VIP enrollment revenue as we pivoted away from our legacy VIP-focused model. However, the expected decline in enrollment revenue was partially offset by increases in sleep testing revenue of $500,000 from SCN as noted, and increases in sponsorship and seminar revenue of $500,000. Our oral appliance sales also tell an interesting story. In the second quarter, we sold 4,116 Arches for $1.9 million, a 5% revenue decrease from 2024. This shift reflects our higher volume of guide sales, which generate lower revenue compared to our more advanced care appliances. Cost of sales and operating expenses increased significantly, primarily due to our acquisition and integration of Sleep Center of Nevada. The closing of the transaction and integration of SCN led to higher quarter-over-quarter professional fees, personnel costs, and infrastructure fee expenses. The primary cause of this increase was approximately $1.8 million in costs associated with acquiring and integrating SCN, including professional fees of about $900,000, salaries and wages of approximately $500,000, and infrastructure costs of approximately $300,000. Our operating loss widened to $4.9 million in the second quarter and $8.8 million for 2025, reflecting these higher expenses and lower revenues during our strategic transition. On the cash flow front, we used more cash in operations and investing activities compared to last year, largely due to our acquisition efforts and increased net loss. However, we secured significant debt and equity financing, providing us with $11.5 million in net cash from financing activities. Of note, the equity financing came from an affiliate of our existing significant investor, Seneca Partners. As of 06/30/2025, our balance sheet showed total liabilities of $21.5 million with cash and cash equivalents of $4.4 million and stockholders' equity of $4.6 million. In summary, while we are seeing some short-term impacts on our financials, these numbers reflect our ongoing transition and investment in the future of our company, particularly through the SCN acquisition, which we are extremely encouraged by, both on its own and as a catalyst to our exploration of similar acquisitions and similar sleep provider collaborations. We believe these strategic moves are setting the stage for stronger performance in the upcoming quarters. For more detailed information, I refer you to our earnings release and to our full Form 10-Q filed earlier today. And with that, I'll hand the call over to our Chairman and CEO, Kirk Huntsman.
Kirk Huntsman: Thank you, Brad. Good afternoon, everyone, and thank you for joining us on today's conference call. 2025 was a period of significant change for Vivos Therapeutics, Inc. and the culmination of nearly two years of laying the groundwork for our new model. As previously announced, during the second quarter and subsequently, we completed the acquisition of the Sleep Center of Nevada, which we refer to as SCN, and have been rapidly ramping up our operations there. Generally speaking, what we found there since closing the transaction in early June has been extremely encouraging and above our forecast. First, the level of cooperation and buy-in from the existing SCN medical team and support personnel in Nevada has exceeded our expectations. In fact, two of the lead sleep MDs at SCN and their families were among our very first patients. Having the full and unwavering endorsement of the medical team at SCN, who have been waiting for a viable alternative option for CPAP for their patients, is critical to the ultimate success of our model. Second, there appears to be far more OSA patients interested in and willing to accept Vivos Therapeutics, Inc.'s treatment as alternatives to CPAP than we had forecast. So much so that we are already working to expand our physical facilities and also to recruit, hire, and train additional providers and staff in order to handle the patient demand. In that respect, to date, we have created and successfully deployed what we are calling sleep optimization or SO teams. Each SO team consists of approximately 16 medical, dental, and support staff who are all specially trained and equipped by Vivos Therapeutics, Inc. At present, we have deployed one and a half new sleep optimization teams that will help drive the growth of each center. By forming discrete SO teams, we believe we can optimize productivity and collaboration among providers and staff. The primary focus of each SO team is to ensure that each and every patient is fully informed and educated about all treatment options, and what might be best for their condition and situation, and then to assist them in getting into their treatment of choice, which most of the time involves Vivos Therapeutics, Inc.'s products and services. In light of this progress and the growth that it portends, we worked hard to secure significant financing to fund the acquisition and to support the current and future growth of the company. As our growth trajectory continues to rise, as other similar acquisition and affiliation opportunities materialize, we fully expect to raise additional growth capital to fund that growth. Now let me return to our core message and provide you with further details on our progress at SCN, and why we believe it portends well for our business model. As we've mentioned, the integration of SCN is well underway, with two locations already integrated ahead of schedule and under budget. We began seeing patients late in the second quarter. As I just mentioned, initial patient demand has outpaced our capacity to service them, and we believe we are currently servicing significantly less than 40% of the potential new patients being tested each month at SCN. We also believe that there are even more legacy SCN patients out there who are either dissatisfied with their CPAP units or who have discontinued their CPAP treatment altogether and are looking for alternatives. Keep in mind that well over 200,000 OSA patients have been tested and seen by SCN providers since 2019. As I just mentioned, we have currently deployed one and a half sleep optimization or SO teams across two locations in Las Vegas. To meet the demand, we are in the process of expanding one SCN location to accommodate two full-time SO teams there. In addition, we are relocating and expanding a second SCN location where we expect to have one and a half SO teams deployed during the fourth quarter of this year, bringing our total to three and a half SO teams in that market by year-end. Another full SO team is expected to be deployed in 2026, bringing our total to four and a half SO teams across two locations. And we currently believe that there is the potential to deploy up to eight total SO teams at SCN based on the current demand. To quantify this, based on our limited operating experience to date, we believe each fully operational SO team can process approximately 250 patients per month, potentially generating over $500,000 in monthly net collections with contribution margins above 50%. Obviously, there will be some ramp-up times associated with each team being able to operate at optimal levels. The existing SO teams are experiencing multi-week backlogs, and there is a sense of urgency to onboard new SO teams as quickly as possible. As mentioned in our 10-Q filed today, we have several growth initiatives planned for the remainder of 2025, 2026, and beyond, which have the potential to further increase our growth in our current growth, and also in new markets. Such initiatives include, but are not limited to, the expansion of diagnostic and treatment services, the establishment and rollout of a pediatric OSA program, and the collaboration with certain specialty medical groups who treat patients with comorbid OSA but who lack the ability to test, evaluate, and treat such patients within their existing practice environments. There is a usual and customary credentialing process that also affects our ability to scale that all new providers must go through with third-party payers. We are actively working with payers and our consultants to expedite that process, which we expect will take anywhere from two to six months depending on the payer. In addition to our acquisition model like SCN in Las Vegas, Vivos Therapeutics, Inc. has developed and refined a new collaboration management model for sleep centers not interested in being acquired. Now, unlike our 2024 strategic collaboration with Rebus Health here in Colorado, under our new and refined model, Vivos Therapeutics, Inc. retains full operational control over the patient experience and the provision of treatment through its managed clinical practices, while collaborating with the local sleep clinic to ensure patients receive the full array of OSA treatment options. Under this new collaboration management model, in July, Vivos Therapeutics, Inc. executed an agreement with MI Sleep, LLC, a Michigan sleep specialist entity engaged in sleep testing and OSA treatment in the greater Detroit area. We expect to have this fully operational with one full SO team deployed in the fourth quarter of this year and expect further SO teams to be deployed in 2026. We expect this new model will be very attractive to sleep center operators and owners who may not want to be acquired by us but are looking to grow their business and referral networks by offering a highly differentiated treatment package to OSA patients. Our M&A team continues to field calls and inquiries from both acquisition and affiliation prospects around the country.
Brad Amman: We are currently in negotiations with several potential candidates in various key markets, with one potential acquisition currently under an exclusive letter of intent. Given our experience with SCN, we believe these opportunities should be similarly accretive. In summary, we believe this initial success at SCN is a strong indication of the potential and upside of our new model. As we roll forward, we expect to continue to modify and refine the model to make it even more efficient and with potential for even better gross margins. Furthermore, we expect that this model, including both acquisitions and affiliations, is highly replicable and scalable across multiple markets. It looks to be highly accretive to top-line revenue growth as well as bottom-line profitability. We believe that this methodical effort, patiently executed over time, has put Vivos Therapeutics, Inc. in a much better position to realize the full potential of our technological advantages and industry-leading products and services. And that concludes our prepared remarks. Now we'll be happy to take questions. Operator, could you please poll for questions?
Operator: Thank you very much. Ladies and gentlemen, we will now begin the question and answer session. We will hear you prompt that your hand has been raised. And should you wish to decline from the polling process, please press star followed by the number two. If you are using a speakerphone, please make sure to lift your handset before pressing any keys. Your first question comes from the line of Scott Henry from May GP. Please go ahead.
Scott Henry: Thank you, and good afternoon. Certainly, really interesting pivot with these SOT teams and the medical relationship. I guess, Kirk, for starters or Brad, Q2 was a nice sequential increase from Q1, numbers we haven't seen for a little bit. How should we think about the revenue in Q3 and Q4 relative to Q2?
Kirk Huntsman: I think the revenue will begin to track our ability to deploy these SO teams. I think you'll see a continuation of the expiration really of our old model and the replacement of the revenue with higher margin and more sustainable revenue from our new model. So as we deploy new teams and as we expand our footprint across not only Las Vegas but other markets that we're looking at right now, I think you're going to see that begin to track. And what we tried to do here is provide investors with a way to sort of think about this with these SO teams. So that's I think as those teams get in place and start to produce, you'll start to see our revenue growth and everything track accordingly.
Scott Henry: Okay. So, the $3.8 million in hello?
Brad Amman: Oh, sorry. So I was just going to your first part of your question was around first-quarter revenue and the growth between first and second quarter sequentially. And you're exactly right. We increased revenue around $800,000 from Q1 to Q2 to $3.8 million. And that was a 27% growth. What you'll see, I think, going forward is more growth on the product side of the house rather than the service side of the house primarily because of the additional referrals from SCN into Vivos Therapeutics, Inc.'s products.
Scott Henry: Okay. That's helpful, Brad. And you did have some strength in the sleep testing services and the sponsorship line. Will those continue, or will those trend back down? Just trying to get a sense of how this model comes together.
Kirk Huntsman: So just remember that at SCN, all that they do there today and historically is test and consult with patients. So the testing revenue increase is a direct reflection of the business operations that we acquired. And I think we're just beginning to see that revenue line appear and the growth in that revenue line will continue as we bring on more testing centers, doing more tests and providing patients with more consults. Where we come into the picture is after the tests are done and those patients are referred over for treatment, that's where the treatment that we provide through our what we call our SAMC centers, which is our sleep and airway medicine centers. So the patients start with the medical providers. They are tested and consulted with the results of those tests, if they're positive for OSA, they're referred over to our centers to be evaluated and educated about their treatment options.
Scott Henry: Okay. Great. Thanks for that color. And then on the OpEx side, OpEx was about $7 million in 2Q '25. Would we expect that to be the new elevated rate under this new model with the acquisition of SCN? Or is there some one-time events within those numbers?
Brad Amman: Yeah. We you know, there were some one-time events, you know, in this quarter, certainly, because of the acquisition of SCN. You know, we have some professional costs and more one-time fees, you know, accounting and legal fees that were more related to the transaction, which will not recur. We do have salaries about a $500,000 increase in salaries and infrastructure costs were about another $300,000. Those that $800,000 will continue, but we do have, you know, around $700,000 to $800,000 worth of costs that are nonrecurring, that are really specific more toward the acquisition of SCN and some of the due diligence that we had to do around that. And which are all more one-time costs.
Scott Henry: Okay. So there's about $700,000 to $800,000 in one-time. And then was SCN in the numbers for the full second quarter? Or is it just part of No.
Brad Amman: We just started consolidating those at the date of close, which was June 9. So we only had twenty days of activity in the quarter from SCN, which generated about $500,000 of revenue from their legacy sleep center business.
Scott Henry: Okay. Great. I'll jump back into the queue. Thank you for taking the questions.
Brad Amman: Thank you, Scott.
Operator: If you are using a speakerphone, please make sure to lift your handset before pressing any keys. The next question comes from the line of Robert Sessions from Water Tower Research. Please go ahead.
Robert Sessions: Hi. Thank you for taking my questions. I want to call you talked about the SO teams. How do you go about recruiting those professionals? And is there a sort of a timeline in your mind as to how long you can put together each team?
Kirk Huntsman: Yeah. It's a good question. So it takes several weeks for us to put the word out and, you know, sift through the resumes that come in and evaluate the providers who apply for things. So there's a full-court press type effort to get one of these SO teams put together. But once we have the team together, we like to train them together as a team. If we can get two of them on at a time, which is I think where we're at right now, we're trying to add two more out there. And so to the extent we can train up all these people at the same time, that gives us some economies of scale. But what we found is that the demand for the job demand for and the available labor pool for the positions that we're advertising for and that we're looking for seem to be very robust. We're not having any difficulty recruiting for these type positions and then we can train up the teams in fairly short order.
Robert Sessions: Okay. Great. You mentioned that you're always looking for opportunities for acquisition, but are you prioritizing bedding down the SCN acquisition? Are you going to be opportunistic and take and look at acquiring or partnering with other sleep centers?
Kirk Huntsman: Well, I think if we were to just sort of curtail the evaluation of other acquisition possibilities or prospects, I mean, we could spend the next ten years optimizing SCN. There's that much potential there. Honestly, we're going to continue to do that. But I believe our operations team has demonstrated the ability to walk and chew gum at the same time. And so I think what we're going to do is we've already begun hiring some strong leadership, not only nationally, I think those of you who follow us note that we hired a couple of strong senior management level people, one in human relations and the other in operations. And we're going to continue to build the bench strength of our operations team so that we can go into a market, make the acquisition or affiliation, establish the SO team or teams that are necessary to get things started. And then from there, we'll just keep moving along. And we'll leave behind a capable and strong SO team or a number of teams with strong regional leadership and management. We just actually hired our first regional manager out there at SCN. And these people, as they demonstrate their capabilities to lead and to just sort of make things happen, then we'll continue on and continue forward. We have no shortage of opportunities to affiliate and acquire and or acquire additional SCN type groups throughout the country. And as the word has spread, we're getting calls every week, it seems like, inquiring about whether we can come out and evaluate and explore opportunities really throughout the country.
Robert Sessions: Yeah. I was also just following up on the SOT question. Have you actually worked with the SOTs before? Have there been any issues that you would consider?
Kirk Huntsman: Yeah. That's a great question. So, the senior management team here at Vivos Therapeutics, Inc. was effectively the same senior management team that rolled out one of the very first dental service and support organizations. They're called DSOs. This is the corporate roll-up of dental practices, which we began back in 1995. And over the years, we have operated and managed, now they weren't called SO teams back in that day, but dental teams, consisting of anywhere from 10 to 20 staff members and, you know, all of them with a common mission and purpose in coordinating various professionals. Sometimes there would be hygienists, general dentists, specialists, all working under the same dental office. So this is something that this particular management team is extremely well-suited to. We've been here before. We know how to do this. We know how to do this well. I think the fact that this operations team has brought this all about in a relatively short period of time, on time, under budget, and performing at the level it is right out of the gate, I think speaks volumes about our ability to execute this as we go. So this is an experienced group of people doing something that we've done successfully in the past. And we continue to see our ability to leverage this and to take this out as something right in our wheelhouse.
Robert Sessions: Right. Right. Just another question on the balance sheet. You've taken on a bit of debt now. Expensive debt, I think. Are there any plans to refinance that and or, you know, maybe you can give us a run-through on the financial strategy that's going forward?
Kirk Huntsman: Well, we always are seeking to reduce the cost of capital. And we realized that the financing that we secured for SCN was very much on the expensive end of the scale. We also realized that we have a model now that we didn't have before that has a certain predictability to it and consistency. And the things that lenders or more conventional financing entities would look for. And so we're always looking to reduce our cost of capital. So I can just say that we believe we have some very good and deep relationships out there that we intend to pursue and to tap as those types of financings become available. And as our model matures and grows and the predictability and confidence of it continues to evolve. So yeah, we will continue to look for that sort of thing. And if our acquisition model continues to evolve and performance matches what we've seen already in the first little bit over time, then it opens up the door for us to do bank lending with credit facilities and all kinds of things that lower the cost of our acquisition funds even further. So, yeah, we're very familiar with that type of thing and capable of doing that as we go.
Robert Sessions: Yeah. And there's a final question for me. Is there a sort of a level of revenues you need? At what point do you think you could be cash breakeven at, you know, what point of revenue?
Kirk Huntsman: Well, we are deploying these highly accretive and highly profitable SO teams as rapidly as we can. We have no shortage of patients. We have some constraints around the physical plant and facilities that we're operating out of right now. We're really putting a full-court press effort to make sure that we expand the facilities, equip those facilities, and put these teams in place as rapidly as possible, which we expect to happen early in the fourth quarter. Now as those things unfold, we're going to be in a much better position to just continue the growth and to see it become more predictable. I don't know. Did I answer your question? I kind of got off.
Robert Sessions: Yeah. That's yeah. I mean, I just wanted to probably you'll have a better idea as the next few quarters go on. You know? So I guess it's really dependent on how quickly you recruit.
Kirk Huntsman: Yeah. So let's just say this. We are actively putting these teams in place. We think that we will have sufficient revenue generation and profit flowing in that we should be cash flow positive sometime in the fourth quarter. We're really pushing hard for that. And that's our hope right now.
Robert Sessions: Okay. Thanks for all that, and I'll jump back in the queue.
Scott Henry: Alright. Thank you, Robert.
Operator: There are no further questions at this time. I'd like to turn the call back to Mr. Kirk Huntsman, Chairman and CEO, for closing comments. Sir, please go ahead.
Kirk Huntsman: I just want to thank everybody. This is obviously a very pivotal time for Vivos Therapeutics, Inc. We have been talking about this pivot and preparing to execute on this pivot for quite some time. Now that we've begun to really execute on our new model, we're just extremely encouraged by what we've seen so far. And I just want to give a shout-out to our operations team who's done just a tremendous job of putting things together and making things happen. Like I said, I feel like we're all very pleased with what we're seeing so far. We think that this is something that we see no reason why we can't extend this out into the future on future acquisitions or affiliations. And we're just going to continue to methodically execute on our game plan, and I think the results will speak for themselves. We look forward to sharing our continued progress with everyone as we continue to execute in the remainder of 2025 and then into next year. I want to thank everybody for being here. And I think further information will be available in our 10-Q and more details and specifics as well as in our upcoming 8-K filing, which we'll have out in the next little while. So, anyway, thank you, everybody, and we look forward to future reports. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation. You may now disconnect.